Operator: Ladies and gentlemen, thank you for standing by. Welcome to the REX American Resources Fiscal 2015 Fourth Quarter Conference Call. During the presentation all participants will be in listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Wednesday, March 23, 2016. I would now like to turn the conference over to Doug Bruggeman, Chief Financial Officer. Please go ahead, sir.
Doug Bruggeman: Good morning and thank you for joining REX American Resources’ fiscal 2015 fourth quarter conference call. We’ll get to our presentation and comments momentarily, as well as your Q&A, but first I'll review the Safe Harbor disclosure. In addition to historical facts or statements of current conditions, today’s conference call contains forward-looking statements that involve risk and uncertainties within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements reflect the company’s current expectations and beliefs, but are not guarantees of future performance. As such, our actual results may vary materially from expectations. The risks and uncertainties associated with the forward-looking statements are described in today’s news announcement and in the company’s filings with the Securities and Exchange Commission, including the company’s reports on Form 10-K and 10-Q. REX American Resources assumes no obligation to publicly update or revise any forward-looking statements. I have joining me on the call today Stuart Rose, Executive Chairman of the Board and Zafar Rizvi, Chief Executive Officer. I will first review our financial performance and then turn the call over to Stuart for his comments. REX is pleased to report on its profitable fourth quarter earnings results. Sales for the quarter declined approximately 16%, primarily due to lower ethanol pricing. Sales were based upon 51.1 million gallons this year’s fourth quarter versus 57.8 million gallons in the prior year. Sales declined approximately 24% for the fourth 2015 fiscal year, primarily reflecting lower ethanol pricing, but also impacted by lower DDG pricing. Gross profit declined from $30 million to $9.2 million for the fourth quarter, as the crush spread was approximately $0.16 in the current year versus approximately $0.56 in the prior year fourth quarter. Gross profit for the full 2015 fiscal year was $50.8 million versus $141.9 million in the prior year, again reflecting the crush spread was approximately $0.17 this year versus approximately $0.59 last year. SG&A was consistent between years with this years fourth quarter being approximately $4.2 million versus approximately $4.1 million in the prior year. Equity method income was $1.1 million this year's fourth quarter versus $7.9 million last year and $9 million versus $32.2 million for the fourth fiscal years. This reflects the lower operating performance of these plants consistent with the industry this year versus last year and the fact we stopped recognizing equity income on the Patriot plant at May 31, 2015 upon the close of that sale. We have no interest expense in the current year as a result of paying off the debt of the consolidated plants during fiscal 2014. Our tax rate for fiscal 2015 was approximately 31% versus approximately 36.4% in the prior year net of non-controlling interest. There can by NR [ph] fluctuations in the tax rate based upon the level of income and the amount of tax deductions received for production, as well as fluctuations in state tax rates and apportionments. On a normal basis, I would expect our tax rate to be approximately 36% to 38% after consideration of non-controlling interest. Our net income for the quarter was $3.7 million versus $20.3 million in the prior year and $31.4 million for fiscal 2015 versus $87.3 million in the prior year. Diluted earnings per share for the quarter was $0.54 versus $2.55 last year and $4.30 for the fourth fiscal 2015 versus $10.76 in the prior year. I would now like to turn the call over to Stuart Rose, Executive Chairman for his commentary.
Stuart Rose: Thank you, Doug. And appreciate everyone being on the call. This quarter we're happy to say we're one of the few ethanol companies in the United States, one of the few public companies’s to record a profit during a very difficult quarter. The industry was impacted by falling oil prices, supply, greater demand in the ethanol business and challenge in DDG market which was marked by lower China demand than we have historically seen. On the positive side, we had a good corn harvest, relatively low corn prices and low natural gas prices. Going forward, we're currently running in the first quarter somewhere between breakeven in the first quarter earnings of last year. Its still a very, very tough industry impacted by oversupply, low oil prices, which puts pressure on our pricing, lot of ethanol in storage currently which should - again puts pressure on ethanol prices, crush spread is definitely down over the previous quarter. DDG also continues to be pressured by lower non-existing Chinese demand and relatively low corn prices. On the positive, we still do have relatively low corn prices which helps our input cost, we have low - continue to have low natural gas prices, driving season, its about to be a ponus [ph] and we expect no legislative changes this year. EPA has set a win level that is above last year which should increase demand. REX is advantages are best locations. We consider our locations among the best in the industry. They are in the Corn Belt. They have good rail service, good infrastructure. We have what we consider the best made plants, Fagen/ICM plants, experienced people, combined with all this it’s allowed us to make money in an industry right now that’s under pressure. We continue to cash flow positive. We had a $135.8 million at the end of the year versus $137.7 million at the end of last year, and even taking - so about the same during the year we were able to buy in 1,254,000 shares. We continue to buy shares with our buy back program. We bought in about 87,000 shares - about 88,000 since the end of the quarter. We made and continue to make capital improvements to our plants to increase the existing capacity. A lot of people are cutting back on capacity, we consider not making money. We are making money and believe we can make more money if we have more capacity. We are looking at – we continue to look to buy quality plants. We have nothing eminent and have seen nothing on the market recently that would lead us to believe that anything is eminent. We look for opportunities in other business where we can use our operating skills, both in running plants and in the commodity business. We continue to look at other businesses, although nothing again is eminent. We've slowed down work on our heavy oil project. Its something that we never recommended people to invest in our company, related to that with the low price of oil, so our feeling that even if the technology was successful, at today's pricing it wouldn’t be profitable. I'll now leave the podium open to questions, if anyone has questions about - regarding REX.
Operator: Thank you. [Operator Instructions] We do have a question…
Stuart Rose: I am sorry, I can't hear you. Hello?
Operator: Okay. We do have a question from Pavel Molchanov with Raymond James. Please proceed with your question.
Pavel Molchanov: Hey, guys. Thanks for taking the question. So kind of a broader point on the ethanol value chain, you know, since August we've been looking at ethanol pricing that’s consistently ran above gasoline, which of course is not, you know, the norm historically speaking. Are you sensing that that this is eating into demand on the part of blenders or is it still largely supported by the mandated volumes? So what's kind of the exact on demand of this pricing dynamics?
Stuart Rose: Well, as it relates to E85, my thinking that might hurts demand in that area, as it relates to exports it hurts demand in that area with the low oil prices. But there still is a mandate and this is when the mandate comes is very important and the mandate allows - requires that refiners buy a certain amount of product from our industry, that keeps the mandate - even though ethanol prices are higher. And ethanol serves a great purpose, with that ethanol no one can meet the air quality standards, where it will be very, very difficult to meet the air quality standards that are required by the EPA. So there is built-in demand no matter what, but with the wooden [ph] standards it keeps demand up in the United States. We believe the wooden standard should be what was legislated, but they are still fairly high and that again is probably the biggest reason ethanol sells with a little bit of premium to gasoline.
Pavel Molchanov: Right. And then secondly, I know you guys wanted a more disciplined producers, but of course there are plenty of guys in mix that are not as disciplined about shutting down when margins are low? Have you noticed any production shut-ins since the beginning of the year, just based on the margin landscape?
Stuart Rose: There is been a couple of minor shut downs and we've heard of people cutting down to 85%. In truth, in my opinion is all these marginal plants that were reopened, it was still away to reopen, they should have been shut, all they do was go back to loosing money, the way they are used to loose to money. People like us were making money are looking to expand our plants which is going to put more pressure on the marginal plants, eventually in my opinion they are not efficient, they are all - they are different technology than what is the best technology. And if they are not making they - I don’t know what the point is to keeping them open. But some people because we have had good years in the past and they have some good plants, some bad plants, they do keep some open. And again, they try to - and the logic escapes me, but they try and but from what I read people are trying to just reduce capacity. When in truth, I think the best thing to do is just - in their position would - and for the industry would be to shut down plants, but we see very, very little of it a small amount, but not very much of its to be honest.
Pavel Molchanov: Okay. As I would have guessed, all right. Appreciate your perspective. Thank you, guys.
Stuart Rose: Thank you.
Operator: [Operator Instructions] It appears we have no further phone questions at this time. I'll turn it back over to you sir.
Stuart Rose: Thank you very much for listening everyone and we'll talk to you at our next conference call. You're owning our shares is appreciated. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.